Operator: This is the conference operator. Welcome to the IAMGOLD Second Quarter 2025 Operating and Financial Results Conference Call and Webcast. [Operator Instructions] The conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Graeme Jennings, VP, Investor Relations for IAMGOLD. Please go ahead Mr. Jennings.
Graeme Douglas Jennings: Thank you, operator, and welcome, everyone, to our conference call today. Joining us on the call are Renaud Adams, President and Chief Executive Officer; Maarten Theunissen, Chief Financial Officer; Bruno Lemelin, Chief Operating Officer; Annie Torkia Lagacé, Chief Legal and Strategy Officer; and Dorena Quinn, Chief People Officer. We are calling today from IAMGOLD's Toronto office, which is located on 313 territory on the traditional lands of many nations, including the Mississaugas of the Credit, Anishinaabe, Chippewa, Haudenosaunee and the Wendat Peoples. At IAMGOLD, we believe respecting and upholding indigenous rates as founded upon relationships that foster trust, transparency and mutual respect. Please note that our remarks on this call will include forward-looking statements and refer to non-IFRS measures. We encourage you to refer you to the cautionary statements and disclosures on non-IFRS measures included in the presentation and the reconciliations of these measures in our most recent MD&A, each under the heading non-GAAP financial measures. With respect to the technical information to be discussed, please refer to the information on the presentation under the heading of Qualified Person and Technical Information. The slides referenced on this call can be viewed on our website. I will now turn the call over to our President and CEO, Renaud Adams.
Renaud Adams: Thank you, Graeme, and good morning, everyone, and thank you for joining us to walk you through our quarterly results, highlighting our operations, financial performance and strategic priorities. Overall, at a halfway point of 2025, IAMGOLD has made major advancement as a leading [indiscernible] Canadian gold producer. This starts with a highlight of the quarter, which was the successful ramp-up of Côté Gold and in-play capacity ahead of plan. The second quarter was also significant. It was a full quarter where the mine achieved overall operating milestone including throughput in gray, in line with consensus estimate and with gold recovery and reconciliation mill to reserve in line with plans as well. As we continue to stabilize Côté, we are confident that the ability to operate the mine with consistency and credibility and predictability and stability quarter-over-quarter will be rewarded by the market. Further, with another quarter behind us, we get closer to unlocking the expansion potential of Côté, where we outlined to the market a larger Côté in scale and scope, targeting ounces from both the Côté and Gosselin zones at the conclusion of our 2025 drilling program of 20 million ounces plus of measured and indicated resources. As we will discuss today, work on this plan is in motion, and we will be announcing an updated Côté life of mine in the second half next year. Operationally, IAMGOLD is on track to achieve its production guidance target of 735,000 to 820,000 ounces of gold this year, though at a revised consolidated all-in sustaining cost range of between $1,830 and $1,930 per ounce, as we will discuss more on the revision in a moment. Financially, we have now concluded our gold prepayment arrangement with 75,000 ounces delivered this year in an environment where the gold price has reached $3,100 an ounce. These deliveries translate to approximately $200 million of value that went towards what can be considered a form of debt servicing this year. With this behind us. IAMGOLD is now 800,000 ounces plus gold producer with full exposure to gold price and significant cash flow generation. Beyond Côté, IAMGOLD offers a robust organic growth portfolio with our own backyard in Canada with the rapid growth of the Nelligan and Monster Lake assets in Quebec, which combined has nearly 9 million ounces of gold resources. Turning to the quarter, and we are now on Slide 5. Above all, the safety of our people remains our top priority, and I'm proud to report that our total recordable injury frequency rate continued to trend below prior year level, reflecting our commitment to a culture of safety and continuous improvement. In addition, in May, we released our 2024 sustainability report, which marked the 18th year in a row, we have documented and disclose our achievement and dedication to responsible mining practices. Looking at operations on an attributable basis, IAMGOLD produced 173,000 ounces of gold in the second quarter, bringing the year- to-date production to 334,000 ounces of gold. The quarterly performance was led by strong results at Côté, which produced 96,000 ounces on a 100% basis followed by the improved quarter-over-quarter production at Westwood with 29,000 ounces and Essakane at 77,000 ounces of attributable production as the mine continues work through the lower grades early in Phase 7. On a cost basis, IAMGOLD reported a Q2 cash cost of $1,556 per ounce and an all-in sustaining cost of $2,041. Costs were higher in the first half of the year due to a combination of higher royalties, foreign currency movement, and a higher unit cost as we continue to work on stabilizing Côté at maximum throughput and grade mill as we will discuss next. Looking at our guidance, total attributable production in the first half of the year was 334,000 ounces. The company expects attributable production in the second half of the year to be much stronger, ensuring that we are on track to achieve the full year production guidance of 735,000 to 820,000 ounces of gold. The stronger second half is due to continued improvement at the Côté mine during its full first year of operation, coupled with an increase in expected grades at both Essakane and Westwood based on the respective mining sequences. Our Q3 performance to date at our assets reinforce our confidence in our production guidance for the year. On Essakane, the attributable guidance was estimated at the beginning of the year, assuming IAMGOLD 90% ownership interest in the project. With the change in ownership to now 85% at the end of the second quarter, the Company expects Essakane's attributable production to fall towards the lower end of the original guidance range. Looking at costs, we have revised our cost guidance upwards with cash costs now expected to be in the range of $1,375 to $1,475 an ounce sold or approximately $150 per ounce higher and all-in sustaining cost of $1,830 to $1,930 per ounce. The increase in cash cost is a combination of external and operational factors, including higher royalty being paid as gold prices rise at Côté and Essakane. At Essakane, the Government increased the royalty structure when gold prices are above $3,000 an ounce. Further, the recent strength in the Euro has necessitated a revision of its impact to our costs in the country. At Côté, we are seeing temporary higher costs at the mine and mill associated with the ramp up and stabilization activities. Processing costs at the mine are expected to fall following the installation of the additional secondary crusher in the fourth quarter, and the mining costs expected to improve as the team continues to transition to bulk mining and [indiscernible] for more direct feed mine to mill with less rehandling. In the short term, while rehandling is adding costs, it also allowed until the mine is set for it to boost the mine grade of 0.95 grams per tonne in Q2 to a 1.1 grams a tonne milled adding approximately $0.25 to $0.30 per tonne mine or roughly $1 per tonne milled, but also unlocking additional value of nearly $15 per tonne milled by uplifting the grade milled. Same idea with the extra milling costs. We have accelerated nameplate in part because we found a way to temporary maximize throughput by incorporating additional re-feed system using contractor for aggregate plant. Moving ahead, nameplates by 5 to 6 months allow for maximizing tonnes milled over just waiting for the second crusher to support. This idea of following for extra milling costs bring also the opportunity to monetize additional tonnes already mined until the end of the year by building fine and core stockpile that could be used during planned longer shutdown, in particular, around the installation of the second cold crusher. As we move forward, we will eliminate that practice and replaced by in-house crushing and repeat system once the second crusher is commissioned, allowing for extra capacity. On the capital side, at Côté, we have increased our sustaining capital estimate by $20 million this year for projects that will further improve the availability of the plant in working condition. This includes a more robust dust management system as well as a final retrieve system to support the mill during scheduled downtime of the crushing plant. This adjustment at Côté are a byproduct of where we are in the life cycle of the project. This is the first full year of operation. And in Q2, we achieved the first full month of nameplate production. Standing back, the ramp-up of Côté has gone extremely well, and the project is delivering and displaying its potential. With that, I will pass the call over to our CFO to walk us through our financial results and position. Maarten?
Marthinus Wilhelmus Theunissen: Thank you, Renaud, and good morning, everyone. In terms of our financial position, at the end of the second quarter, IAMGOLD had $223.8 million in cash and cash equivalents and net debt of $1 billion. The company has $250 million drawn on the credit facility and approximately $391.7 million remains available, resulting in liquidity at the end of June of approximately $616.5 million. We note that within our cash and cash equivalents, $91.4 million was held in the corporate treasury, $56.4 million, representing IAMGOLD's 70% share was held by the Côté Gold UJV and $85.1 million was held by Essakane in Burkina Faso. IAMGOLD's interest in Essakane was adjusted from 90% to 85% effective June 20, 2025, as per the updated Burkina Faso Mining Code adopted in August 2024. Following the change in ownership, Essakane declared a significant dividend of approximately $855 million representing all of the undistributed profits of Essakane up to and including the 2024 profits. The company's 85% portion of the dividend, net of withholding taxes is approximately $680 million. Essakane will make dividend payments during the third quarter based on the cash flows generated during the period and the remaining balance of the dividend will be converted into a shareholder account between Essakane and IAMGOLD. The shareholder account structure works like an inter-company loan and allows for the Company's portion of the dividend to be repaid at any time of the year using excess cash generated by Essakane, therefore, improving the efficiency of cash repatriation and aligning the interest of both IAMGOLD and the Government of Burkina Faso being more regular cash flow movements from Essakane. The Government of Burkina Faso received its portion of the dividend totaled $128.3 million in June of 2025. Looking at our debt obligations, IAMGOLD is in a good position to execute on our strategy to responsibly delever the balance sheet. Over the last 4 to 5 years, in order to fund the construction and completion of Côté, IAMGOLD put in place numerous financial vehicles with the gold to avoid permanent incumbencies or transactions that would permanently decrease IAMGOLD's ownership interest in Côté. These included the gold prepay arrangements and the second lien term loan. In the second quarter, we concluded delivering into the gold prepay arrangements. Year-to-date, the company delivered 75,000 ounces into the arrangements, resulting in deferred revenue of $154 million being recognized. Deferred revenue represents the cash IAMGOLD received when entering into these arrangements, adjusted for the impact of any gold hedging structure included in the arrangements. If those ounces were delivered at today's gold prices, cash would have been higher by approximately $200 million to $225 million, illustrating the potential increase in our future cash flows as we will now sell all production at market prices. We are now prioritizing repaying the highest cost debt, which is our second lien term loan, and it has a floating rate of more than 12%. Repaying the term loan will also reduce our average debt carrying costs. We're proud to announce that subsequent to quarter end, the company made the first step on its delevering strategy and repaid 10% or $40 million of the term loan, reducing the principal balance to $360 million. Looking further ahead for IAMGOLD, we are continuously analyzing what the proper capital structure is for an organization of this size with our expected cash flow generation. Ultimately, we look forward to discussing the potential of returning value to our shareholders, whether through share buybacks or dividends once we have addressed our capital structure. Looking at our Q2 financial results. Revenues from continuing operations totaled $580.9 million from sales of 182,000 ounces on a 100% basis at a record average realized price of $3,182 per ounce, which includes the impact of the gold prepay arrangement in comparison to the spot price of $3,302 per ounce. Cost of sales, excluding depreciation, was $287.1 million, and adjusted EBITDA was a record $276.4 million compared to $191 million in the second quarter of 2024. At the bottom line, adjusted earnings per share in the second quarter was $0.13. Looking at the cash flow waterfall at the bottom of Slide 8, which is explaining the cash flow movements for the first half of the year, we can see the year-to-date combined impact of the gold prepaid deliveries and the dividend payment to the Government of Burkina Faso following Essakane's large dividend declaration. On a mine site free cash flow basis, IAMGOLD generated $140.5 million in the second quarter, including $93.9 million from Côte and $36.6 million at Westwood. Essakane reported $10 million in mine site free cash flow in the second quarter, which is important to highlight as impacted by approximately $47.5 million for the timing of cash tax payments related to the final assessment on 2024 earnings as well as an increase in working capital and the VAT receivable. I would also like to note that subsequent to quarter end, Essakane received a $27 million VAT refund, reducing the receivable. And with that, I will pass the call to Bruno, our Chief Operating Officer. Bruno?
Bruno Lemelin: Thank you, Maarten. Starting with Côté Gold. As Renaud noted in the opening remarks, this was an important quarter for Côté as the mine transitions from ramp-up to optimization and stability. We are very proud of our progress at the mine. 16 months ago, on March 31, Côté poured its first gold bar followed by commercial production 4 months later and ultimately achieving nameplate throughput of 36,000 tonnes per day on June 23, well before the 20-month estimate at project initiation. Looking at the quarter, Côté produced 96,000 ounces on a 100% basis. Mining activity totaled 11.8 million tonnes in the quarter with 3.2 million ore tonnes mined equating to a strip ratio of 2.7. The average grade mined increased from the prior quarter to 0.95 gram per tonne, in line with the updated mining plan as in-pit activities continue to broaden the mining area within the pit to support the transition to bulk mining. On a cost basis, we saw unit mining costs of $3.88 per tonne due to the higher-than-expected diesel consumption associated with additional rehandling as well as contractor costs, consumable parts related to an increase in drilling, loading and blasting activities. Mining costs are expected to reduce in the second half of the year closer to the $3.50 a tonne level. This will be achieved by targeting an objective of 1 million tonnes a week and the reduction of rehandling through an increased proportion of direct feed material, coupled with improved blasting and pit management. Turning to processing. Mill throughput totaled 2.9 million tonnes with successive increases in throughput each month during the quarter. Head grades of 1.1 per tonne were in line with plan, with feed material comprised of a combination of direct-feed ore and stockpiles. Mill recoveries averaged 93% in the quarter, beyond plan as well we believe we are seeing the benefits of the micro fracturing created by the HPGR. Reconciliation between the reserve models, grade control models, mill feed and production continues to be in line with expected tolerances with Q2 exit production seeing 7% positive reconciliation to both reserve tonnes and grade. Milling unit costs saw quarter-over-quarter improvement to $6.94 per tonne milled, though they remain elevated from our target of about $12 per tonne. Unit costs are impacted by the supplementary crushing and coarse ore refeed activities, which have performed well to provide additional capacity during maintenance windows, but come at an increased cost. The supplementary crushing is temporary, and we expect unit cost to decline following the installation of the additional cone crusher in the fourth quarter. Looking ahead, we remain confident in our Côté Gold production guidance of 360,000 to 400,000 gold ounces on a 100% basis, which is essentially a doubling of production from last year. The primary focus continues to be the stabilization of the processing plant to operate at or above the design capacity of 36,000 tonnes per day. On costs, as Renaud highlighted, cost guidance has been revised. Cash costs are now expected to be in the range of $1,100 to $1,200 per ounce sold and all-in sustaining cost is now expected to be $1,600 to $1,700 per ounce sold. The cash cost increase is primarily associated with higher royalties due to the higher gold price equating to an increase of about $50 to $60 per ounce, coupled with the higher than planned cost to operate the temporary coarse ore refeed crushing circuit and higher maintenance costs that contributed close to $150 per ounce over the course of the year. The all-in sustaining cost revision includes the additional $20 million or $40 per ounce for the additional nonrecurring capital to improve overall plant availability and operating conditions, including thus mitigation systems inside the facility. We are looking forward to seeing the impact of the installation of the second cone crusher in Q4, which will provide further capacity and flexibility in the dry side of the plant in support of the operation and potential future expansions, which leads us to what is the most exciting slide, the advancement of the Côté Gosselin super pit scenario. Our drills are busy at work with over 32,000 meters completed on the 45,000-meter program. This program is prioritizing the resource conversion at Gosselin to provide the foundation for an updated technical report that is expected to outline a significantly upsized reserve base combining Côté and Gosselin into a super pit. This report is expected to be released in the second half of next year. As currently designed, Côté has the mining capacity to average an annual ore mining rate of 50,000 tonnes per day versus our current nameplate processing rate of 36,000 tonnes per day. As part of the 2026 technical report, we will look to find the right balance between an increased processing rate with mining rates targeting the combined Côté Gosselin super pit. It is interesting to note that the Côté deposit itself has over 400 million tonnes of measured and indicated material. If mined at a rate of 20 million tonnes of ore per year or 50,000 tonnes per day, the Côté deposit itself would have a mine life of potentially 20 years prior to bringing Gosselin into plant. This would allow for considerable flexibility for phased permitting and capital outlays. Altogether, there is a significant amount of value to continue to uncover at Côté. Turning to Québec. The second quarter at Westwood saw improvement from the prior quarter with production of 29,000 ounces as the mine operates through some lower grade stopes and conducts, additionally underground activity to set up the mine for a stronger second half. Underground mining totaled 98,000 tonnes, averaging nearly 1,100 tonnes per day as volumes from the underground continued to increase compared to the prior year and previous quarters. Production drilling has continued to improve quarter-over-quarter, achieving 193 meters per day, a record since the mine restarted in 2021, building confidence that our underground mining methodologies and systems are proving to be effective. [ Falagountou ] satellite open pit reported 315,000 tonnes mined, higher than the previous quarters, in line with the mining schedule. Mill throughput in the second quarter totaled 323,000 tonnes at an average head grade of 3.07 grams per tonne. The strong throughput was due to plant availability in the quarter of 96%, which is -- which was higher than the same prior year period of 89%. The mill achieved recoveries of 92% in the second quarter 2025, in line with the same prior year period. Cash costs and all-in sustaining costs came in above our updated guidance ranges for the year as production is expected to be second half weighted with cash costs averaging $1,562 an ounce and all-in sustaining averaging $2,140 an ounce in the quarter. Looking ahead, we remain confident in Westwood's ability to meet our production guidance with production of 125,000 to 140,000 gold ounce. Underground mining rates are expected to be maintained at around 1,000 tonnes per day from multiple active mining zones, while grade is expected to increase in the second half of 2025 as the mining sequence transitions to higher grade zones during the period. As previously discussed, cost guidance has been revised and cash costs are now expected to be in the range of $1,275 to $1,375 per ounce sold and all-in sustaining costs to be between $1,800 to $1,900 per ounce sold. Unit costs were higher in the first half of the year due to higher mining and maintenance costs combined with lower production from lower average grade relative to plan in the first half of the year. Unit costs are expected to decline in the second half of the year on higher production expectations. Turning to Essakane. It was a challenging quarter as we work through the lower grade of the upper benches of Phase 7, while being impacted by higher costs from increased royalties, a stronger Euro, increased maintenance and consumables costs and a higher proportion of stripping activities being expensed. Production of a 90% basis -- on a 90% basis Q2 totaled 77,000 ounces. Mining activity totaled 10.7 million tonnes with ore tonnes mined of 2.2 million tonnes equating to a strip ratio of 4:1. Mill throughput was 3.1 million tonnes at an average head grade of 0.93 gram per tonne. The grade decreased as the mining activities progress through the upper benches of Phase 7. Grades tend to reconcile slightly below the reserve model during the earlier stages for the mining a new phase and conversely to the positive as mining moved deeper into the phase as we saw in the first half of 2024, when we were mining the later stages of Phase 5. The transition to the higher grade benches in Phase 7 occurred later than forecast with increases in grade materializing subsequent to quarter end. On a cost basis, Essakane reported cash cost of $1,855 per ounce and all-in sustaining cost of $2,224 per ounce in the quarter. Costs were higher in the quarter due to a lower proportion of capitalized waste in the period, higher maintenance activities and an increase in consumable costs, including diesel and grinding media. Labor, contractor and facility costs also increased due to the appreciation of the local currency, which is pegged to the Euro. Royalties accounted for $257 per ounce in the quarter, representing an increase of nearly $100 per ounce from the prior year period, primarily due to higher realized prices and a revision in royalty rates. Looking ahead, we estimate that Essakane will be on the lower end of the attributable production guidance target ranging from 360,000 to 400,000 gold ounce. The guidance -- this guidance accounts for the revision of the company's interest in the projects to 85% from 90% previously. Our Essakane cost guidance has been revised and cash costs are now expected to be in the range of $1,600 to $1,700 per ounce sold and all-in sustaining cost is now expected to be between $1,850 to $1,950 per ounce sold. Costs at Essakane are higher than planned, primarily due to the increased royalty rate previously mentioned and the impact higher gold prices have on royalties, resulting in an increase of approximately $77 per ounce and the continued impact of a stronger Euro on operating costs. While the cost of operation in country have risen over the recent years, Essakane continues to be a world-class mine and is positioned to generate significant free cash flows moving forward. Finally, it is worth highlighting that work is ongoing at the second largest gold mining camp, the Nelligan and Monster Lake project in Chibougamau, Quebec. Year-to-date, we have completed over 12,000 meters of drilling at Nelligan with an upsized drill program of 15,000 meters and 11,000 meters of drilling at Monster Lake. The Nelligan program prioritized the extension of the deposit at depth. Nelligan's mineral resources estimate was updated earlier this year, which saw indicated ounces increase to 3.1 million ounces with an average grade of 0.95 gram per tonne and an additional 5.2 million ounces in inferred at similar grades. We plan to have assay results from this program later in the year as we work to grow Nelligan, targeting over 10 million ounces, making it among the largest undelivered gold project in Canada. With that, I will pass it back to Renaud. Renaud?
Renaud Adams: Thank you, Bruno. So thank you all. There is no question we have to be exceptionally diligent at our operations to ensure cost management containment management, particularly during a rising gold price environment to ensure the margin expansion is protected. Looking beyond this, it is a very exciting time for IAMGOLD. We are now completely exposed to the gold price with the conclusion of our prepays. We are expecting a strong second half of the year, and our Côté Gold project is performing very well with significant value growth opportunity ahead. So thank you for your support. With that, I would like to pass the call back to the operator for the Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from Anita Soni with CIBC World Markets.
Anita Soni: A couple of questions. Just firstly, on the cost increase at Côté. Could you just give us an idea of what the -- I think you mentioned that the stripping, the amount of material moved would be around 11 million to 12 million tonnes per quarter for the back half of this year. Could you just give a breakdown of what the strip ratio would be for those 2 quarters? I'm sorry if you've already said it, I'm just on 2 competing calls right now.
Renaud Adams: On the strip ratio, we should be slightly below, I guess, the H1. But the most important thing is when you look at the rehandling, so it's not just rehandling that has to do with moving the grade mine to the mill. So we talked about a lot about the crush, the aggregate plan and the support from contractors. So that also incurred some rehandling around this. But all in all, yes, we had about over 2 million tonnes of total move above the total mine. So this is all those movements. So what I like about this, at least in the short term, is it does, as I said, it does bring some uplifting grade at the mill and so forth. So obviously, the benefits offset largely. Why not in the long run? We talked largely about it. In the long run, we see more direct feed. We see bulk mining. We see the ability to reduce some rehandling while continue to separate at the source in the pit, the lower grade from there. So Bruno, you have maybe more detail on the strip.
Bruno Lemelin: Anita, so we're going to have a stripping ratio closer to 2.5 in the second half, which is quite like similar to what we had in H1. And as Renaud mentioned, like the rehandling is due to be reduced as we transition towards a direct ore feed strategy that will be help coupled with the installation of the secondary corn crusher or the second corn crusher. So we expect a sharp decline in rehandling for that activity after the installation of the corn crusher.
Renaud Adams: What I can add maybe to this is we have roughly 2 million tonnes of ore stockpile, what we call the NGO which, as Bruno mentioned, by processing it, we had a positive reconciliation on it. So that brings what I would call the project today pretty bang on. So we're very, very pleased with that. And -- but eventually, it's a strategy to continue to deplete. So you'll reach the point where you wouldn't have all those stockpiles to play with. So the mine will continue to ramp up, reach a point where the excess ore mine -- ore tonnes, lower grade will be stockpiled for the long run and the direct feed. So this is really the strategy so we're not there yet, but we're advancing well and we're facing the pit and so forth. So it's a matter of time, but for the time being, the rehandling while adding costs actually had quite a bit of revenue as well.
Anita Soni: And then a second question on the processing. So I noticed you had a pretty good drop in the processing unit costs. How does that evolve with the two shutdowns. You've got a maintenance shutdown in Q3 and then also the tie-in that we knew about in Q4. So do you expect the processing costs to go up temporarily and then in 2026 could be at the cost that you delivered in Q2 were lower?
Renaud Adams: Not necessary for the exact same reason you just mentioned. So that's the reason why we decided to maintain external support. We had some time to do. Bruno can speak about that. There was quite a bit of work around the crushers as well and safety first and all that. So we decided to maintain. So now we -- that's the reason why we adjusted the $150 million because you could argue that the rehandling, extraordinary handling in the short term, all those extra milling costs, some also rent and maintenance power as well to help. So all that in the short term, which kind of the $4, $5 on a combined basis. So basically explain the $150 million. So we've got to maintain this in place, making sure we maximize the throughput once the secondary cone is installed. And that's the whole dynamic would change as we move forward. Bruno, any additional comments?
Bruno Lemelin: So we have our annual shutdown in the August, the 5-day shutdown. So we're going to be -- again, we just want to remain prudent. It's the first year of operation, there will be training, we're going to be doing it in a safe way. And after that, in Q4, with the installation of the cone crusher, we're trying to strategize as to not to interrupt the mill too much. So -- but there will be some interruption to make all the tie-ins and everything. All in all, we are very confident that we're going to be producing as expected within the production guidance but we need some support to complete those 2 activities. The activity of installing the second cone crusher is an activity that will bring us to a position where we will see after that a decline in the mine -- in the milling costs and also in the mining cost because we will have a reduction in the [indiscernible].
Renaud Adams: Maybe the last comment on this is I know we talked about cost, and I know it's all about this industry to remain very disciplined and so forth. So again, we see those additional cost kind of temporary and not really. But what I like about our cost structure, even though we're just in the first year, if you look at our targeted cost for the mine cost for the year $3.50, target is eventually towards $3. So we're not that far. You still have about a $0.30 build-in and rehandling, which will reduce all your mining processes would continue to improve. So you're not that far. You're like barely 10% of improvement down the road to get to your objective, and we're going to get there. And we're now mining at a 12 million tonnes run rate. So that's the 48% and continue to improve. So we're very confident on the mining side, reconciliation works well and so forth. On the milling side, if you could break down basically line by line, there is one line that really outstands the others. It's the contractor use of external services to continue to support. That is a one line on its own, consider about $4 to $5. So as we move forward, this is the line we target. It's not like all the cost structure is under control. Actually, it works extremely well, all the variable consumption versus cost. So if you would be -- you would say an ultimate target of $1,050, the difference in between is basically. We achieved something like $1,480 in June as a milling cost. We're very, very confident, we take the hit in the short term. We're going to continue to bring some additional value. But down the road, we're externally confident in positioning the cost structure where we want.
Anita Soni: And one final question, apologies for the final one. The -- my last question is with respect to the Gosselin integrated study. I think I was expecting it near to the end of this year or early next year. And I think you mentioned by the end of 2026. So is that a -- that change? I think you mentioned in the opening comments that the -- sorry, that Côté itself would sustain about 20 years of mine life. Is that just to give you more time to drill? Or was I wrong about that?
Renaud Adams: No. The -- let's separate reserve from resources, right? So the plan is that we're going to extend our drilling to the end of the year, maybe even June -- January. So for the reserve resource estimate, don't expect anything more than a kind of a deflation exercise at year-end. We're going to complete maximize our drilling up to probably January then update our new resource base within that. From that new resource base, which we're targeting late Q1, maybe early Q2 for disclosure, this is the resource base where we're targeting to have after the completion of the drilling at 20 million ounces plus of measure indicator, which will form the base of the mine plan and a new reserve. And all this, the final will be released in the latter part of 2025, but the resource will be earlier in the year.
Operator: Our next question comes from Matthew Murphy with BMO.
Matthew Murphy: Just a few more questions on Côté. How is the HPGR holding up at this point? Are there any risks when you do this maintenance, it's a chance to take a look at how -- where rates have been and so on? Or do you already have a good grasp of how it's faring?
Renaud Adams: So I'm sure -- Bruno, I see a little smile because Bruno and I would definitely see this like on a very, very glass half full and not half empty. It is true that, as we mentioned earlier in the other day, the [indiscernible] so far may look like we're going to achieve maybe less hour on the tires, but the performance of the machine is extraordinary. And to a point that when we feed the wet, we're capable to process and crush more with HPGR and we can actually extract. We're still using external for longer, but the machine is operating very well.
Bruno Lemelin: Yes. Matthew, this is Bruno. What we see is we see a very good performance from the tires, although they are wearing fast due to the aggressiveness of the ore. But we see performance succeeding very often like beyond 40,000 tonnes per day. So it's not a matter of daily performance. I think the team is managing those roles better. They understand now the behaviors of the equipment. Right now, what we're doing is we're going to be ultimately replacing those tires with a new generation, which will have longer stuff. So we hope that we're going to increase the longevity. So it's more like a longevity issue than performance issue. And they will be after that, another generation of tires with a larger diameter of the stuff. So all in all, we believe that the HPGR actually is a piece of equipment that is bringing a lot of value for Côté. The team has been trained and it's catered as how to operate the HPGR. It works well. Right now, it's just like we need to change those tires more often than firstly expected, but the goal is to get there eventually.
Renaud Adams: Having said that, two things that is important with the addition of the second cone crusher, we should be in a position to restabilize even further crushing a little finer, feeding the HPGR more and its sweet zone -- sweet spot zone. So we might see a reverse back to better life. But how are we going to bypass all this? We're not so concerned as long as it doesn't bring additional downtime. So as we mentioned, this additional improvement on the repeat system will be allowing us, as we crush to extract and repeat. And this is all going to be doing in-house. So we're going to adjust to that, but the performance of the machine is extraordinary.
Matthew Murphy: And then I'm just trying to understand some of these temporary costs, it sounds like a pretty abrupt drop-off in export costs once you get the secondary additional pressure up and running, are there any sort of temporary costs that you see persisting into 2026.
Renaud Adams: I'd like to say that it is absolutely possible that all in all, if you would compare like a SAG milling operation, let's say, with an HPGR, you might have to face a little higher maintenance cost or replacement of your wet part. But as we mentioned, this would probably be offset anyway by additional benefits brought to you. That is the only thing. On the wet side, there is absolutely nothing that I see remaining. Once you're positioned to extract and repeat internally from your course and you're fine, you'll take care of that. We had a lot of additional extraordinary costs of repair, extraordinary repair, which we've seen super, like much, much, much better now in stabilization and so forth. So a lot will disappear, but it could be possible that $10 a tonne as normally per tonne million asset like that should be doing, could be a little shy, but other than that, I'm pretty confident.
Operator: The next question comes from Steven Green with TD Securities.
Steven J. Green: Just a quick one on the new agreement at Essakane, the new framework deal with the Government. Obviously, better to have -- good to have the better certainty on the cash flows. Is this something that you were seeking? Or is this something the Government was looking to do in terms of the new agreement?
Renaud Adams: I'll pass it to Maarten.
Marthinus Wilhelmus Theunissen: Steve, if so, the Government wants to have a maximum dividend and IAMGOLD wants to make sure that we have an efficient structure to continue to be able to move excess cash out of the country. And basically, by declaring the full distributable profit from the past allowed us to pay that maximum dividend to the Government. So we achieved their objective. And now what IAMGOLD has is instead of waiting and only being able to pay dividends during the third quarter every year, we have this intercompany loan structure where as Essakane generates free cash flow in the next period, we can repay that loan using that free cash flow. And Essakane, paid a lot of taxes and other working capital amounts in Q2. But now going forward, we expect Essakane to continue to produce good cash flows, and that is then available for us. So we achieved both benefits and we work well with the Government on this.
Steven J. Green: Okay. And is there a stability agreement associated with this?
Marthinus Wilhelmus Theunissen: The Government is a 15% shareholder. So these things are done in Board meetings as shareholders. So it's not that there's a specific agreement, but there is, of course, agreements with Essakane for these type of instruments that the Government had to agree to these things as a shareholder.
Steven J. Green: And I guess just larger picture, with this in place, with this new agreement in place, would -- is there a potential for Essakane to be something that you would look to divest at some point, just given your focus on Canada and Côté now?
Renaud Adams: I would say at this stage, all eyes is on the focus of cash flow and debt repayment. So this is a very good cash flow. Strategically, as we move forward, we continue to believe that Essakane is capable to bring good ounces, cash flow, an opportunity to further reward our shareholders down the road. And this is what we see -- I mean, we reached a point with 800,000 ounces attributable. We have expectations to pay down quite a bit of our debt this year and next year. So we could be in a position where we're mid next year. And if you would have this excess cash available, you would also be in a possibility to increase a reward to shareholders. So it's very strategic as we move forward, but we're extremely pleased now. And with this vehicle in place, we'll be capable to have more predictable and so forth. Down the road, we continue to monitor the situation.
Operator: Our next question comes from Tanya Jakusconek with Scotia Bank.
Tanya M. Jakusconek: And a lot of them have been answered, but just a follow-up on some of the ones that were asked. So just finishing off on Essakane, if I could. Can -- Renaud, how do you see the mine life there? We've got this higher gold price. So I'm just thinking about as we get to year-end, your reserve pricing and resource pricing? And how does Essakane look in terms of extending beyond the technical study that you filed?
Renaud Adams: So let's start first by looking a bit of the regulation attached to this. So it is a bit of understanding that renewal of permit down the road could be for a period of 5 years. So let's see now we're focusing on looking beyond '28 up to 2033. So it looks extremely well. So like if we wanted to stay and develop and increase the life of mine and invest to extend, we're pretty confident we could easily bridge the first 5 years extension. Beyond that, this is not our focus at this stage. But yes, if you increase the gold price a bit, if you look at Essakane as you would accept that it's more at $2,000, $2,100 an ounce, extended life of mine and so forth, there is a lot of additional value, and we're more than confident we could extend for an additional 5 beyond.
Tanya M. Jakusconek: So I should be thinking probably 2033 as sort of what you're targeting for?
Renaud Adams: Yes. So now we have a 43-101. So it would imply, of course, successful conversations with the Government. We would not obviously be inclined not to inject -- inject capital is a big word because the mine is free cash flowing and we probably pay for its own investment. But the point is before you engage in such a thing, you would like to have certainty on permit extension and so forth now in '26 and then the expansion and so forth and refiling of. So that's one scenario over the current scenario of '28. But yes, definitely at this rising gold price without using it all, maintaining a significant margin around the 2,000, 2,100 kind of reserve, you would expand quite easily.
Tanya M. Jakusconek: And then if I can just come back to Côté. So as I'm thinking about getting these costs stabilized, you mentioned that you're $0.30 or thereabout-ish $0.50 on the mining cost per tonne to get to $3. I mean, as you get rid of this rehandling, which -- when do you think that will be? Like is that like this year? Or like is that into next year, we're going to finish the rehandling? I'm trying to understand when I can get this down dollar?
Renaud Adams: Again, there would always be a little bit of rehandling from the moment you mine more than the milling, but not to the extent of what we see. Again, a big portion of the rehandling as well takes place at the aggregate plant or around. You move the ore quite a few times. So that's one thing. So it's more of '26, Tanya. I think we feel strong that we probably can exit at an average of about $350. And as we continue, I see about half of it is about rehandling and half of it is about just continued improvement volume, bigger denominator type of to bring us to the $3 eventually. So it's more of '26.
Tanya M. Jakusconek: And then on the processing side, once we get -- we eliminate these contractors and these other -- get this more stabilized and get the secondary crusher. And are we looking at this $12 a ton also like in the second half of next year? I'm just trying to understand when is the mine...
Renaud Adams: I would like it earlier than that. I would like it earlier than that, but we'll be commissioning. It should be straightforward commissioning of the second -- the second cone. At that point, we would have already improved the in-house or refeed system on the fine side, maybe a little bit of improvement on the feeding system on the core side. But yes, technically, you'll be in a position already in Q1 next year to see a reduction of those costs, but it could go to the midyear where you would stabilize there. In the long run, we would continue to improve beyond the 12, but I think it's a fair call by mid-next year, we should stabilize there.
Tanya M. Jakusconek: So hopefully, mid next year, mining and processing were where you are or close to where you want to be and we'll move forward from that. Would that be a fair comment?
Renaud Adams: Yes.
Tanya M. Jakusconek: And then finally -- my final question is on the -- when we talked about the improvement in the second half, I'm just trying to understand you have the same number of tonnes mined for Essakane in Q3, Q4 and similar grades, but you have that maintenance downtime in August and then you have the secondary crusher going in. Should I be thinking that the quarters would be evenly distributed? I just don't know how long you think the secondary crusher is going to take to install. So should I be thinking Q3 a little bit better than Q4? I'm just trying to understand how Côté looks for the scenario...
Renaud Adams: Yes, a little bit the same, I guess, like Bruno mentioned, like this quarter, we had a planned shutdown and then Q4 is a tie-in. We'll be capable to reduce those by using some. So I would say Côté Gold is probably more kind of look alike Q3, Q4, strong both. And Essakane, Bruno, you're probably expecting Q4 a little higher.
Bruno Lemelin: Yes. The maintenance at Essakane in August is we are -- we have a 24-hour maintenance on Line A and a 16-hour maintenance on Line B. So the impact is going to be somehow marginal.
Tanya M. Jakusconek: No, no, that's fair enough. So really, it's Essakane that has a stronger Q4 and does Westwood as well with the grade? I'm just trying to see if that quarter-over-quarter improvement Q3, Q4 still stands.
Renaud Adams: No, you're absolutely right. You can take the view that Essakane and Westwood will have a stronger Q4 than Q3, and Côté should be about more or less the same.
Tanya M. Jakusconek: And Westwood as well, more or less the same?
Renaud Adams: No, Westwood and just like Essakane should have a stronger Q4 as you continue to improve on the grade.
Tanya M. Jakusconek: So quarter-on-quarter improvement still. Okay. Well, that's very helpful [indiscernible] the secondary crusher and as well for Côté, that would be great to see.
Operator: The next question comes from Mohamed Sidibe with National Bank Financial.
Mohamed Sidibe: So maybe just on the second half expected at Essakane. Just wanted to know if you could provide us with a little bit more color on some of the grades you're expecting out of Phase 7? Or should we also anticipate a little bit more increase of throughput in the second half versus the first year?
Renaud Adams: Bruno?
Bruno Lemelin: Yes. Yes, for -- I used to be the GM at Essakane, and it's not necessarily the first time that we see lower grade material at the upper benches of the new phase. So it's not like -- it's not new. So what we expect in the second half is that as we dig deeper, we're going to enjoy higher grade material and post subsequent to this quarter, this is what we see. And we expect grades to pick up and to increase and also the reconciliation to be positive after month end. So our plans are somewhat conservative, but we are anticipating still a stronger H2
Mohamed Sidibe: And then the second question would just be on the taxes paid and the increased guidance there. Could you give us maybe some color on the cadence that we can expect for Q3, Q4? I know it's impacted by the dividend declaration at Essakane, but should we expect Q3 to be higher versus Q4? Or how should we look at that?
Bruno Lemelin: Maarten?
Marthinus Wilhelmus Theunissen: So in Q3 in July, we actually paid the withholding taxes on the dividend. That was just over $40 million. And then the rest of the tax payment should be equal over the rest of the quarter.
Operator: This concludes the time allocated for questions on today's call. I will now hand the call back over to Graeme Jennings for closing remarks.
Graeme Douglas Jennings: Thank you very much, operator, and thanks to everyone for joining us in this morning. As always, should you have any additional questions, please reach out to Renaud or myself. Thank you all. Be safe, and have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.